Operator: Thank you for standing by, and welcome to the Lightbridge Corporation Business Update and Fiscal Year 2022 Conference Call. Please note that today’s conference is being recorded. It is now my pleasure to introduce Matthew Abenante, Director of Investor Relations for Lightbridge Corporation. Please go ahead.
Matthew Abenante: Thank you, Norma, and thanks to all of you for joining us today. The company’s earnings press release was distributed yesterday and can be viewed on the Investor Relations page of the Lightbridge website at www.ltbridge.com. Joining us on the call today is Seth Grae, Chief Executive Officer; along with Larry Goldman, Chief Financial Officer; Andrey Mushakov, Executive Vice President for Nuclear Operations; and Sherrie Holloway, Controller. I would like to remind our listeners that any statements on this call that are not historical facts are forward-looking statements. Today’s presentation includes forward-looking statements about the company’s competitive position and product and service offerings. During today’s call, words such as expect, anticipate, believe, and intend will be used in our discussion of goals or events in the future. This presentation is based on current expectations and involve certain risks and uncertainties that may cause actual results to differ significantly from such estimates. These and other risks are set forth in more detail in Lightbridge’s filings with the Securities and Exchange Commission. Lightbridge does not assume any obligation to update or revise any such forward-looking statements, whether as a result of new developments or otherwise. And with that, I would like to turn the call over to our first speaker, Seth Grae, Chief Executive Officer of Lightbridge. Hello, Seth.
Seth Grae: Hello, and thank you, Matt, and thank you all for joining us to discuss Lightbridge’s 2022 results. Since our last conference call, we have achieved significant milestones that were crucial to advancing Lightbridge Fuel and to meeting our key objectives for the year. We are proud to successfully achieved key critical goals, including our strategic partnership project agreement with DOE and Idaho National Laboratory that we announced in December. Our strategic partnership project has an initial duration of seven years, which is due to the different phases of work to be done with regular milestones that we look forward to sharing. The importance of these agreements and the work ahead for Lightbridge cannot be understated. These agreements will enable us to conduct irradiation testing of fuel material sample in the Advanced Test Reactor. We will collect material performance data on uranium-zirconium material, which is the same material that we will use in Lightbridge Fuel rods. The data we collect from this testing will help support the fuel performance model to obtain and secure regulatory approval as well as to share with utilities, so that they can see how our fuel performs inside a reactor. The data we collect from these tests will apply to the licensing, evaluation and feasibility of our fuel in various types of commercial reactors such as pressurized heavy water reactors like CANDU reactors, as well as light water, small modular reactors and large pressurized water reactors and boiling-water reactors for evaluating the commercial pathway and deployment of our fuel. We also announced the successful completion of our project at Pacific Northwest National Lab under our second DOE GAIN voucher award in February. This work advances a critical stage in the manufacturing process of Lightbridge Fuel by demonstrating a casting process using depleted uranium-zirconium material. The total project value was approximately $663,000 with three quarters of this amount funded by DOE for the scope performed by PNNL. I want to thank the teams at Lightbridge and PNNL for their collaborative efforts and in other successful collaboration with the GAIN office at DOE. I’ll turn the call over to Andrey Mushakov, VP for Nuclear Operations to review our ongoing fuel development activities. Andrey?
Andrey Mushakov: Thank you, Seth. As Seth mentioned, we entered into agreements with Idaho National Laboratory in collaboration with the U.S. Department of Energy to support the development of Lightbridge Fuel. The framework agreements consist of an umbrella Strategic Partnership Project Agreement and an umbrella Cooperative Research and Development Agreement or CRADA, each with Battelle Energy Alliance, DOE’s operating contractor for Idaho National Laboratory with the initial duration of seven years. The initial phase of work under the two agreements will culminate in irradiation testing in the Advanced Test Reactor of fuel samples using enriched uranium supply by DOE. The initial phase of work that has been released aims to generate irradiation performance data for Lightbridge’s delta-phase uranium-zirconium alloy relating to various thermophysical properties. The data will support fuel performance modeling and regulatory licensing efforts for the commercial deployment of Lightbridge Fuel. Subsequent phases of work under the two umbrella agreements that have not yet been released may include post-irradiation examination of the irradiated fuel samples, loop radiation testing in the ATR, and post-irradiation examination of one or more uranium-zirconium fuel rodlets, as well as transient experiments in the Transient Reactor Test Facility or TREAT at Idaho National Laboratory. Last month we announced the completion of our work with Pacific Northwest National Laboratory to demonstrate Lightbridge’s nuclear fuel casting process using depleted uranium, a key step in manufacturing Lightbridge Fuel. Several castings were performed throughout the project, and the cast ingots were analyzed. In an iterative process, the casting methodology was modified based on the characterization results as part of the process was a demonstration to achieve acceptable results with PNNL’s existing equipment. The results of this work will help inform a final process suitable to produce fuel material coupons for our upcoming irradiation tests in the Advanced Test Reactor. Back to you, Seth.
Seth Grae: Thank you, Andrey. The benefits of nuclear energy have come into focus over the last year like never before. Accountability for achieving the zero – the net zero carbon targets being set by countries and companies worldwide continues to drive the momentum toward more nuclear industry-friendly policy decisions. With Russia’s invasion of Ukraine in its second year and with it energy crises experienced in many parts of the world, it has only raised the stakes when it comes to energy security. Russia’s invasion of Ukraine has caused countries everywhere to seek to ensure their energy security from now on. Countries seem to be waking up to the realization that they can’t meet their national security energy or climate goals without a significant increase in nuclear power as part of their energy mix. And now we’re seeing this is starting to happen. The tragic war in Ukraine has amplified the fact that energy security and energy infrastructure must be meaningful priorities. Only nuclear power can expand the availability of clean and reliable baseload electricity without carbon emissions in a responsible way, weaning countries off dependency on fossil fuels from countries that threaten their national security. Throughout the North America and EU and Asian nations countries have taken steps to renew plant licenses and restart nuclear reactors and build new reactors. The recently enacted U.S. Inflation Reduction Act provides nuclear production tax credits to help preserve the existing fleet of U.S. nuclear plants and significant money for advanced reactors. According to the Nuclear Energy Institute, 90 [ph] nuclear power reactors on order or are being planned around the world and more than 300 reactors are at the proposal stages. In addition to commercial nuclear power plants, more than 200 research reactors are operating in more than 50 countries. Fostering innovation across the industry including SMRs, overall sentiment and public acceptance for nuclear power is improving with positive developments coming from the government, academia, municipalities, electric utilities, and now the capital markets. Nuclear power vendor companies have traditionally been government owned, private or a relatively small part of a much larger publicly traded company. Today, investors can have liquidity in investments in a diversified portfolio of companies along the nuclear supply chain with more to come. This greater interest in nuclear energy helps propel Lightbridge to aggressively pursue our fuel development to meet the goals of the marketplace. Lightbridge presents a unique opportunity in the nuclear industry. Our fuel design marks the only truly new fuel design for existing reactors since the dawn of light water reactors in the nuclear industry. These are significant changes that will bring major safety, economic and non-proliferation benefits for existing and new reactors. This is an exciting time for Lightbridge and I look forward to updating investors on our work at INL and elsewhere as we begin this important chapter for our company. Now I will turn the call over to Larry Goldman, Chief Financial Officer, to summarize the company's financial results. Larry?
Larry Goldman: Thank you, Seth, and good afternoon, everyone. For further information regarding our fiscal year 2022 financial results and disclosures, please refer to our earnings release that we filed yesterday and our Form 10-K that we will file with the SEC later today. The company’s working capital position at December 31, 2022 was $28.7 million, compared to $24.7 million at December 31, 2021. Total assets were $29.5 million and total liabilities were $0.4 million at December 31, 2022. Total cash used in operating activities totaled $6.7 million, a decrease of $4.3 million in 2022 as compared to 2021. This decrease was primarily due to an arbitration settlement payment of $4.2 million in 2021 and a decrease of $0.1 million in net loss adjusted for noncash charges and changes in operating assets and liabilities. In 2022, operating cash flows reflected our reported net loss of $7.5 million, adjusted for noncash charges including stock-based compensation expense of $0.9 million and a net increase in our operating assets and liabilities of $0.1 million. Total cash provided by financing activities totaled $10.9 million, a decrease of $3.3 million in 2022 as compared to $14.2 million in 2021. This decrease was due to a decrease in cash provided by our ATM facility of $3.8 million, a decrease in cash provided by the exercise of stock options of $0.2 million, offset by a decrease in net share settlement of equity awards for the payment of withholding taxes of $0.7 million. In support of our long-term business and future financing requirements with respect to our fuel development, we expect to continue to seek government funding in the future, along with new strategic alliances that may contain cost sharing contributions and additional funding from others in order to help fund our future R&D milestones, leading to the commercialization of Lightbridge Fuel. We expect to invest $6.5 million in research and development over the next 12 months to 15 months. I will now turn the call over to Sherrie Holloway, our Controller will go over our P&L financial information for fiscal 2022. Sherrie?
Sherrie Holloway: Thank you, Larry. Net loss for the year ended December 31, 2022 was $7.5 million, compared to $7.8 million for 2021. Total R&D expenses amounted to $0.7 million for the year ended December 31, 2022, compared to $1.4 million for the year ended December 31, 2021, a decrease of $0.7 million. This decrease was primarily due to a decrease in outside R&D expenses of $0.3 million, a decrease in allocated employee compensation and employee benefit of $0.1 million and a decrease in other R&D expenses of $0.3 million. Total G&A expenses for the year ended December 31, 2022 were $7.5 million compared to $7.1 million for the prior year, an increase of $0.4 million. There was an increase in directors’ fees of $0.2 million, an increase in dues and subscriptions of $0.1 million, an increase in patent expenses of $0.2 million and an increase in insurance expense, promotion, and travel expenses of $0.3 million. These increases were offset by a decrease in professional fees of $0.4 million. Net other operating income was $0.4 million for the year ended December 31, 2022 compared to other operating income of $0.6 million for the year ended December 31, 2021, a decrease of $0.2 million. There was a decrease of $0.1 million in the distribution in the prior joint venture. The contributed services research and development generated from the GAIN program were $0.4 million and $0.5 million for the years ended December 31, 2022 and 2021 respectively, and were recorded as contributed services, research and development with a correspond charge to R&D expenses. Now over to you Seth.
Q - :
Seth Grae: Well, thank you, Sherrie. And I want to thank everybody for participating in today’s call. We look forward to providing additional updates in the near future. And in the meantime, we can be reached at ir@ltbridge.com. Stay safe and well. Goodbye.
Operator: This concludes today’s conference call. Thank you for your participation. You may now disconnect. Everyone have a wonderful day.